Operator: Good afternoon and welcome to Bridgepoint Education's Full Year and Fourth Quarter 2018 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Dori Abel, Vice President of Corporate Communications for Bridgepoint Education. Please go ahead.
Dori Abel: Thank you, Jason, and good afternoon. Bridgepoint Education's full year and fourth quarter 2018 earnings release was issued earlier today and is posted on the Company's website at www.bridgepointeducation.com. Joining me on the call today are Andrew Clark, Chief Executive Officer; and Kevin Royal, Chief Financial Officer. We would like to remind you that some of the statements we make today may be considered forward-looking, including statements regarding performance of our marketing strategy, new enrollments, retention, education partnerships and other programs and services, enrollment growth, our future receipt of regulatory approval of the planned separation and conversion of Ashford, our ability to close on the planned separation and conversion and its timing and impact, our ability to transition to being an education technology services provider, our ability to grow through acquisition, future revenue growth, financial and related guidance and commentary regarding fiscal year 2019 and later. These forward-looking statements are subject to a number of risks and uncertainties that could cause actual performance or results to differ materially from those expressed in or suggested by the forward-looking statements. Please note that these forward-looking statements speak only as of the date of this presentation and we undertake no obligation to update these forward-looking statements in light of new information or future events except to the extent required by applicable securities laws. On the call today, we will also discuss certain non-GAAP financial measures. In our earnings release, you will find additional disclosures regarding these measures, including reconciliations of these measures with U.S. GAAP. Note that these non GAAP financial measures are intended to supplement GAAP financial information and should not be considered as a substitute for our GAAP results. Please refer to our SEC filings, including our annual report on Form 10-K for the year ended December 31, 2018, which we filed with the SEC earlier today as well as our earnings press release, which we also posted today for a more detailed description of the risk factors that may affect our results. You may obtain copies from the SEC or by visiting the Investor Relations section of our website. At this time, it is my pleasure to introduce Bridgepoint Education's CEO Andrew Clark.
Andrew Clark: Thank you, Dori, and welcome to Bridgepoint Education's full year and fourth quarter 2018 earnings call. On the call today, Kevin and I will discuss our 2018 results as well as other announcements. After our remarks, we will open the call to questions. 2018 proved to be a noble year for Bridgepoint. First and foremost, about a year ago, we announced our plans to separate Bridgepoint from its academic institutions and become an education technology services company. Recently, we completed the transfer of programs from University of the Rockies into Ashford University, and as I will discuss in a moment, we are moving forward with our preparations for the separation of Ashford University from Bridgepoint and the subsequent conversion of Ashford University into a non-profit institution. In addition, we gained traction on a number of fronts during the year. First, we saw over a 700 basis point improvement in the decline in new enrollments in 2018 year-over-year. Second, Ashford's cohort retention continued to improve as we saw 20 basis point increase year-over-year. Third, we successfully implemented an enhanced marketing strategy that is generating a higher quality and more efficient mixture of prospective students, while reducing total admissions, advisory and marketing costs by 4% year-over-year. Fourth, we further expanded our education partnerships. As of December 31st, our corporate partners included 117 Fortune 500 companies, which spanned multiple industries, such as healthcare, communications, technology and financial services. Within our corporate partners, approximately, one-fourth of their student employees are enrolled in master's degree programs at Ashford. The employer sponsorship by these global companies is a testament to the strength and quality of the programs offered through Ashford. And lastly, we introduced a number of additional program offerings, which have continued to build on Ashford's reputation and strength. We are incredibly proud of the education students have received through Ashford. Our work over the last decade has built a strong higher education institution, which has a differentiated approach to the online market and produced over 120,000 alumni. In fact, according to the 2018 National Survey of Student Engagement, College Student Report or NSSE, Ashford provides an academic challenge that ranks with the top 10% of four-year colleges in the U.S. that participated in the NSEE survey, denoting the rigor that students have at the institution. Participating institutions include bachelor's degree granting colleges and universities, representing a broad diversity with respect to institution type, public or private, control, size and region. With that, let me quickly run through our fourth quarter 2018 results. For the fourth quarter of 2018, we reported revenue of $94.7 million, a net loss of $13.4 million and a resulting diluted loss per share of $0.49. Excluding the fourth quarter restructuring and impairment charges of $4 million as well as the separation transaction costs of $3.2 million, our non-GAAP diluted loss per share was $0.23. These results were lower than anticipated due to lower revenue caused by higher FTG scholarships due to a higher mix of FTG students and more courses being taken by these students as well as lower average weekly enrollment year-over-year. As expected, new enrollment for the fourth quarter of 2018 was down as a percentage by low single-digits when compared to the fourth quarter of 2017. At the start of 2019, we bolstered our leadership in our advisory group, which we believe will support an improvement in new enrollment going forward. Despite the decline in new enrollments during the fourth quarter versus prior year, we continue to see improvements in the overall quality and efficiency of our leads, while at the same time, our total admissions, advisory and marketing costs decreased 10% year-over-year in the fourth quarter of 2018. For the quarter, approximately 88% of new enrollments came from homegrown sources, which was up 83% in the fourth quarter of prior year. This growth in the homegrown channel was driven by improvements in organic traffic as well as with our education partnerships with corporate employers. At the same time, retention continued to improve. As of December 31, 2018, Ashford's cohort retention rate was 58.9% as compared to 58.7% for the same period in the prior year. Additionally, as I mentioned, we continue to derive growth in our Education Partnership programs as well as with our graduate student population, who both retain at a higher rate. As of December 31, 2018, the enrollment in the Education Partnership program represented just over 21% of the total enrollments, which is an increase from the approximately 14% of total enrollment as of one year ago. New enrollments in the Education Partnership programs represented approximately 24% of new enrollment for the year. These innovative programs are positive examples of the benefits of partnering with employers. We can provide a quality debt-free education to these students and employers can develop, retain and grow the skills of their employees. As we look to 2019, establishing a strong foundation for an independent, self-sustaining, non-profit Ashford to flourish over the long-term is a priority for us. We have maintained our focus on improving new enrollment and student retention through innovative intervention strategies designed to ensure student preparedness, raise academic quality and improve student outcomes. As a result, as we move through the year, we anticipate new enrollment to improve sequentially from the fourth quarter of 2018 with a return to year-over-year new enrollment growth starting in the second quarter of 2019 and continuing throughout 2019. Changing gears, I'd like to discuss the future of Bridgepoint and Ashford. In early February, we announced the receipt by a AU NFP, a non-profit California public benefit corporation of the IRS determination of non-profit status. This determination is one of the steps needed in the process of separating after Ashford University from Bridgepoint Education and converting Ashford University to an independent, self-governed institution. As you saw in our announcement last Thursday, WASC deferred any action on the change of control application filed by Ashford University to convert the university to a non-profit institution. They have requested additional documentation and will be planning a special visit this spring. We anticipate receiving notice from WASC in July and we are using this additional time to work toward a favorable outcome. In the meantime, we are diligently working toward Bridgepoint's separation from Ashford University. Post close, we will be a best-in-class education technology services provider that partners with higher education institutions and employers to deliver innovative personalized solutions to help learners and leaders achieve their aspirations. As we have said, the needs of higher education institutions, corporations and learners are changing and our offerings will be well-targeted to meet their needs. Our commitment is based on three beliefs. Successful learning is better achieved through personalization. It must have the ability to meet people, where they are and it must deliver strong outcomes. We have deep expertise delivering innovative solutions to personalize each individual experience using predictive tools and analytics to improve the likelihood of learning success. In the near future, as part of this transition, we will rename and rebrand Bridgepoint to more appropriately reflect the Company's strategy and vision for the future. With a renewed focus and a refreshed brand, our team will enhance the experience educational institutions and corporations deliver to their students and employees. Utilizing advanced data and analytics, we will be able to better understand customer preferences and make interactions more personalized and effective. Leveraging our success in education, our runway for growth involves applying our technologies and capabilities to priority market needs, including recruitment, retention and the learner experience. Our strategy will leverage both organic and inorganic growth opportunities centered on three main areas. First, delivering education services that meet the diverse and large scale needs of educational institutions and corporate enterprises, with success in both B2C and B2B at a significant scale. Second, further capitalizing on middle market opportunities through enhanced programs and services building our capabilities both organically and inorganically. And third, expanding our skills to employment offerings through both B2C and B2B solutions to connect skills to employment. In line with this strategy, today, we announced the strategic acquisition of Fullstack Academy, an award-winning immersive coding bootcamp, which offers a premier program centered on a series of leading and emerging technologies. With over 2,500 graduates, both Fact Academy offers both full time and part time learning programs and cybersecurity training and web development with a strong track record of quality learner experiences, including being a founding partner in Council on Integrity in Results Reporting or CIRR. Its graduates see a strong ROI and enjoy excellent outcomes with alumni across the U.S. and employers ranging from small start-ups to Silicon Valley powerhouses. Today, by design, Fullstack Academy maintains two centers of excellence with an eye toward expansion, primarily through university partnerships. Kevin will provide the details on the transaction in a few minutes, but let me give you a quick overview of why this is such an important acquisition. Fullstack Academy provides primarily a B2C focus and it's one of the top rated bootcamps in the middle market. Among its many top rated programs, it partnered with New York City to launch Fullstack Academy's Cybersecurity Immersive, an elite cybersecurity bootcamp focused on creating skilled workers to help drive economic growth in the region. In addition, Fullstack Academy has also worked with New York City's Tech Talent Pipeline and two iterations of the Web Development Fellowship, a program creating pathways for underserved communities. And for several years now, Fullstack Academy has been a top rated technology bootcamp in the U.S., including the highly regarded Grace Hopper Program, an immersive coding program offered exclusively for women. From continuously updated curriculum to personalized mentorship experience, the program encourages women to go beyond the scope of a coder and instead become a full fledged software engineer. As part of its mission to close the gap in technology, the Grace Hopper Program has graduated over 500 women since 2016. Fullstack Academy is also expanding its university partnerships, leveraging its market strength of academic quality and outstanding job placements. This, coupled with our robust corporate partnership network, creates a natural synergy for it to provide an even tighter connection to employers for up-scaling current employees and helping to fill their talent pipeline. Fullstack Academy is well-positioned competitively and it is a strong fit within our education technology services ecosystem with its demonstrated commitment to bridging the skills to employment gap within the United States. Importantly, it provides a platform through which we can expand into other high-demand employment verticals in need of qualified professionals. For example, in 2018, we launched Learn at Forbes for the professional learner, which combines the high-quality brand of Forbes and a network of top executives and educators to provide self-paced courses and professional certifications designed to give individuals ready-to-use relevant skills for technology-driven workforce. Learn at Forbes meets the growing needs of individuals to succeed in the knowledge-based economy and assist employers in finding individuals with the knowledge and education they need to fill the growing skills gap. We are thrilled to welcome the Fullstack Academy team to Bridgepoint and look forward to providing updates as we move forward together. In addition to the strategic acquisition, we have been expanding our capabilities organically. Over the past 12 months, we have made significant investments to greatly expand our core technology tools to serve Ashford and positioned the business to serve new schools. These investments have included expansion efforts in the following three platforms. Talent, our single sign on mobile app that provides learners and faculty access to their student portal and learning management system. Waypoint, our outcome-based direct assessment tool that supports faculty in their measurement and feedback efforts and institutions with their composite data sets on learning and outcomes. And Constellation, our mobile publishing and learning platform that provides digitally designed course materials that are accessible to students of various learning cycles and abilities. Currently, 30 universities are on this platform. We also recently announced new partnerships with Salesforce.com and IBM, where we will integrate the power of Salesforce Einstein and IBM Watson to develop a series of innovative solutions that personalize each individual experience using predictive tools and analytics to improve the likelihood of learning success. We have also made and are continuing to make investments in key talent. In the last three months alone, we have made several key hires, including, first, Greg Finkelstein, our new Chief Operating Officer. Greg will further bolster our transformation to a technology, data and services leader in the higher education marketplace. His operational acumen combined with over two decades of higher education consulting and technology experience will elevate our efforts to deliver innovative solutions to our partners. In addition, as I mentioned, we expect his new leadership over the advisory team to drive the sequential improvement in new enrollment in the first quarter of 2019 as well as the return of growth for the remainder of 2019. Second, John Semel, our new Chief Strategy Officer. John's experience developing strategies to drive growth for organizations in the education industry, along with his investments and acquisition expertise, will be integral in meeting our strategic objectives. As you can see, we are embarking on a transition to a high growth technology company. Initially, we anticipate our core business revenue growth will be low single-digit expanding to mid single-digit growth over a three-year period. Our announcement today of Fullstack Academy is a great example of how we anticipate inorganic growth will help us achieve our overall vision and bring us one step closer toward our long-term growth profile. With the addition of Fullstack Academy, we expect our revenue growth to expand to high single-digits over the next two to three years. Longer-term, as we execute on our strategy and pursue aggressive growth through meaningful internal investments and M&A, we expect to achieve double-digit revenue growth. We will, however, be disciplined in our pursuit of growth. Our investments, both organic and inorganic, will be viewed through the lens of our strategic imperatives that I outlined. The platform's potential of any investment and the halo effect of introducing new assets and offerings into our educational technology ecosystem. Clearly, there is a lot of activity at the company. We are incredibly excited about what lies ahead. We have a strong and growing team in place to execute and together we are optimistic about the value creation opportunity for all of our stakeholders. Now, I will turn the call over to Kevin Royal to review our financial and operating results.
Kevin Royal: Thank you, Andrew. Before I begin, let me briefly touch on the restatement we announced last week. As previously announced, the Audit Committee and the Board of Directors of the Company concluded that our previously issued unaudited financial statements for the three and nine months ended September 30, 2018 should no longer be relied upon because of errors. We determined that the process used for recording revenue for the full tuition grant program portion of our student contracts and the related judgments and estimates were not designed with sufficient precision. As a result, we identified errors relating to revenue, bad debt expense, accounts receivable and deferred revenue, which resulted in the overstatement of revenue and expenses for the restated periods. We restated our 10-Q for the period ended September 30, 2018 on Form 10-Q/A, which we filed earlier today. This restatement resulted in a decrease to our net income for the three and nine month period ended September 30, 2018 in the amount of $2.6 million and $5.8 million, respectively. Now, let me provide some key financial and operating information for the quarter and year ended December 31, 2018. For the fourth quarter of 2018, revenue was $94.7 million compared to $105.1 million for the same period in 2017. The decrease is primarily due to higher FTG scholarships due to a higher mix of FTG students and more courses being taken by these students, as well as lower average weekly enrollment year-over-year. As of December, 2018, total student enrollment was 38,153 compared to 40,730 as of December 31, 2017. As Andrew mentioned, we continue to see growth in our Education Partnership programs, which has resulted in improvements in our cash revenues from Title IV sources. During the years ended December 31, 2018, 2017 and 2016, Ashford University derived 78.6%, 80.8% and 81.2% of its cash revenue, revenues from Title IV program funds, respectively. This improvement is the result of the success of our educational partnerships in full tuition grant programs, a trend which we would expect to continue in 2019 and beyond. For the fourth quarter of 2018, instructional costs and services were $51.6 million or 54.5% of revenue compared to $54.9 million or 52.2% of revenue for the comparable prior year period. The increase in the fourth quarter as a percentage of revenue was primarily due to relative increases in labor and IT costs, partially offset by decreases in bad debt expense. Bad debt expense for the fourth quarter of 2018 was $3.5 million or 3.7% of revenue compared to $7.3 million or 6.9% of revenue for the comparable prior period. Admissions, advisory and marketing expenses for the fourth quarter of 2018 were $38.8 million or 40.9% of revenue compared to $43.3 million or 41.2% of revenue for the comparable period. These costs decreased as a percentage of revenue due to lower advertising spend and lower headcount. General and administrative expenses for the fourth quarter of 2018 were $14 million or 14.7% of revenue compared to $10.4 million or 9.9% of revenue for the comparable period. The increase in dollars and as a percentage of revenue was primarily driven by additional costs associated with the separation of Ashford as well as higher administrative labor costs and consulting fees. We recorded $4 million of restructuring and impairment charges in the fourth quarter of 2018 as compared to a slight reversal of expense of $0.7 million in the fourth quarter of the prior year. Additionally, there were no legal settlements in the fourth quarter of the current year as compared to $1.8 million of legal settlement expenses in the fourth quarter prior year. Net loss for the fourth quarter of 2018 was $13.4 million or a loss of $0.49 per diluted share compared with net loss of $5.1 million or a loss of $0.18 per diluted share for the same period in 2017. The non-GAAP net loss for the fourth quarter of 2018 was $6.2 million or a loss of $0.23 per diluted share compared to a non-GAAP net loss of $3.9 million or a loss of $0.14 per diluted share for the fourth quarter of 2017. Regarding the full year results, revenue for the full year ended December 31, 2018 was $443.4 million compared with revenue of $475.1 million for the year ended December 31, 2017. Similar to the quarter, the decrease is primarily due to lower average weekly enrollment year-over-year and a higher mix of full tuition and students. Net income for the year ended December 31, 2018 was $4.6 million or diluted income per share of $0.17 compared with net income of $9.1 million or diluted income per share $0.28 for the year ended December 31, 2017. Non-GAAP net income for the year ended December 31, 2018 was $13 million or non-GAAP diluted income per share of $0.47 compared with non-GAAP net income of $17.8 million or non-GAAP diluted income per share of $0.55 for the year ended December 31, 2017. Income tax benefit for the full year ended December 31, 2018 was $7.6 million, which primarily relates to discrete tax benefits. The company used $7.6 million of cash in operating activities during the 12 months ended December 31, 2018. By comparison, the Company used $4.1 million of cash in operating activities during the same period in 2017. Capital expenditures for the 12 months ended December 31, 2018 were $2.6 million as compared to $3.4 million in the comparable period last year. As of December 31, 2018, the Company had combined cash, cash equivalents, restricted cash and investments of $192.7 million as compared to $207.6 million as of December 31, 2017. For 2019, as Andrew mentioned, we anticipate new enrollment to improve sequentially from the fourth quarter of 2018 with a return to year-over-year enrollment growth starting in the second quarter of 2019 and continuing throughout 2019. From a profitability standpoint, excluding the impact of our acquisition of Fullstack Academy, we expect Bridgepoint's EBITDA margin to be positive in 2019 in the low single-digit range due to our investments in technology, talent and other costs associated with the repositioning of the business that Andrew discussed during his comments. We are projecting that Fullstack will be dilutive to EBITDA in 2019 in the range of $3 million to $5 million. Lastly, let me briefly review the transaction details for Fullstack Academy. As we announced earlier today, we have agreed to acquire Fullstack Academy. The total consideration for the transaction is anticipated to be $17.5 million in cash and up to 4.75 million shares of common stock with 2.5 million issued at closing and the remainder to be issued in the future, upon the satisfaction of certain performance milestones. The transaction is expected to close during the first quarter of 2019, subject to customary closing conditions. Now, I will turn the call back over to Andrew for his closing comments.
Andrew Clark: Thank you, Kevin. 2019 marks the beginning of a transformation for both Bridgepoint and Ashford. While we position Bridgepoint for its transition to an education technology services company, we remain focused on ensuring Ashford University has a strong foundation to support its long-term sustainability and success. We have a clear strategy in place to be a best-in-class education technology services company that will leverage our core strengths, while applying our technologies and capabilities to priority market needs, including recruitment, retention and the learner experience. In addition, our acquisition of Fullstack Academy establishes a leadership position for us in an attractive and growing space, while at the same time, providing a springboard to expand our skills to employment offering and other high demand verticals. We believe through the execution of our strategic priorities and continued investments, we will create long-term growth and meaningful value for all our stakeholders. At this time, I'll ask our operator to open up the phone lines for your questions.
Operator: [Operator Instructions] Your first question comes from the line of Alex Paris from Barrington. Your line is open.
Chris Howe: This is Chris Howe sitting in for Alex. Good afternoon, everyone.
Andrew Clark: Hi, Chris.
Kevin Royal: Hello.
Chris Howe: Hi. I had some questions here. First off, Fullstack. You mentioned some of the financial expectations moving into 2019. I guess, for a long-term picture of this program, of this acquisition, how should we think about the different synergies that you could extract out of it as it applies to your corporate partnerships? And has that been modeled in to your future outlook?
Andrew Clark: Yes, Chris, thanks for the question. Excellent questions. So the short answer is no, we haven't modeled in the potential synergies that we would bring to Fullstack. You're absolutely correct. Our corporate partnerships would be a prime example of that. But that is not modeled into their business plan currently. We expect that throughout this year and into the future years, that as we work together, Fullstack will take advantage selectively at leveraging some of those synergies from Bridgepoint and using those to enhance their connections to universities and employers.
Chris Howe: Okay, that's helpful. And then staying on the topic of corporate partnerships or I guess shifting to that topic, you mentioned the continued strength that you're seeing within the FTG program. However, it does impact average revenue per student. As we look at the mix toward your expectations for 2019, how should we expect this to grow as a percentage of the total mix? And what's in your guidance for the FTG programs in 2019?
Kevin Royal: Yes. So we're currently planning when we look at 2019 from a financial standpoint related to the full tuition grant program is that we ended the year at 22% of total enrollment being part of our corporate partnership program. And we would expect that to grow into the 27%, 28% range during 2019.
Chris Howe: And one more question before I hop back in the queue. How would you characterize new programs for 2019 as far as any color you can share on that and how much of a contributor that will be new programs that have yet to be announced or should we expect the portfolio of programs to remain consistent or constant throughout the year? And in terms of enrollment growth, between existing and new programs, how should we think about the mix there looking forward?
Andrew Clark: Yes. Great question. So in terms of new programs in '19, I'd say there's about a handful of new programs that have yet to be implemented by Ashford. If you think about new enrollment growth in '19 for Ashford, most, some of that's going to be driven by the new programs that were introduced in '18 and I think at our last earnings call, Chris, we said that those contributed back then to about 3% of our overall total enrollments. So I would say going forward, as those programs accelerate through '19, they're going to probably be in the high single-digits, low double-digits by the end of the year.
Chris Howe: Great, thank you for taking my questions.
Andrew Clark: Thank you.
Operator: Your next question comes from the line of Peter Appert from Piper Jaffray. Your line is open.
Kevin Estok: Hi, guys. This is Kevin Estok in for Peter Appert.
Andrew Clark: Hi, Kevin.
Kevin Estok: My first question, hi. So, I guess, I was wondering, if you guys could offer any incremental detail on Fullstack's past operating performance for the acquisition?
Andrew Clark: Well, I mean, I guess, let me just start by saying we're really excited by what they do at Fullstack. Just their whole orientation, the difference that they're making, the societal difference they're making in terms of helping people to learn these very high-tech skills and fill literally millions of jobs that are out there unfilled right now. So we're just, generally, very excited about the team there and the founders and the job that they've done. I would say that their performance has been really strong. They've done a fantastic job. And I think the most important part of their performance that we were looking at was really the outcomes. And how were they doing in terms of student outcomes and by any measurement, they're really one of the top rated bootcamps that's in the country today.
Kevin Estok: Okay. Thank you very much. And then my second question. I think you may have given some guidance on student enrollment growth in, for '19 and a few of the out years. So could you just repeat that guidance?
Andrew Clark: Yes, sure. So we said that new enrollment would improve sequentially from the fourth quarter to the first, that we expect new enrollment growth to return in the second, third and fourth quarters of the year and that we should be positive overall in new enrollment for the full year.
Kevin Estok: Okay, thank you very much.
Andrew Clark: Thank you.
Operator: This concludes our question-and-answer session. I will now turn the call over to Andrew Clark for any closing remarks.
Andrew Clark: Thank you. We'd like to thank all of today's callers and everyone for their interest in Bridgepoint Education and for your participation in today's call.
Operator: This concludes today's conference call. You may now disconnect.